Chaim Siegel - Elazar Advisors:
Operator: Good afternoon. My name is Tim and I'll be your conference operator today. At this time, I'd like to welcome everyone to the Jabil Third Quarter Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. Ms. Beth Walters, Senior Vice President of Investor Relations and Communications, you may begin your conference.
Beth Walters: Thank you. Welcome to our third quarter of fiscal year 2018 earnings call. Joining me today are CEO, Mark Mondello; and Chief Financial Officer, Forbes Alexander. This call is being recorded and will be posted for audio playback on the Jabil website, jabil.com, in the Investors section. Our third quarter press release, slides and corresponding webcast links are also available on our website. In these materials, you will find the financial information that we will cover during this conference call. We ask that you follow the presentation with the slides on the website beginning with Slide 2, our forward-looking statements. During this conference call, we will be making forward-looking statements, including those regarding the anticipated outlook for our business, our currently expected fourth quarter of fiscal 2018 net revenue and earnings results, the financial performance of the company and our long-term outlook for the company. These statements are based on current expectations, forecasts and assumptions involving risks and uncertainties that could cause actual outcomes and results to differ materially. An extensive list of these risks and uncertainties are identified in our Annual Report on Form 10-K for the fiscal year ended August 31, 2017, on subsequent reports on Form 10-Q and Form 8-K and our other securities filings. Jabil disclaims any intention or obligation to update or revise any forward-looking statements, whether as a result of new information, future events or otherwise. Today's call will begin with Mark and his comments on the quarter and our outlook for the business during the remainder of fiscal 2018. Forbes will follow with details on our third fiscal quarter results and guidance for our fourth quarter of 2018. Following our prepared remarks, we will open it up to questions from call attendees. I'll turn the call now over to Mark.
Mark Mondello: Thanks, Beth. Good afternoon. As always, I appreciate everyone taking time to join our call today. I'll begin by saying thanks to our team at Jabil. Thanks for your personal commitment to our customers and to our shareholders and thanks for making safety your top priority. Before I begin with my prepared remarks today, I'd like to share a few thoughts about Forbes. As you know, Forbes recently announced his retirement and he will be transitioning his CFO chair to Mike Dastoor. So with the proverbial mixed emotions I put pen to paper, starting with what an honor it's been to work with Forbes for 20 plus years. Fighting the good fight every day is stressful, it's fun and at times just plain crazy. Forbes and I laugh about how working at Jabil has done so in dog years, as a business has an intensity about it that's never ending. So by my calculation Forbes' career here at Jabil is actually closer to 150 years in duration, now that's worth acknowledgment and celebration. Forbes, you've truly made Jabil better for everyone, for our customers, for our employees and for our shareholders. You are leaving behind one hell of a legacy. You know, as I wrote down my thoughts, it occurred to me that it just wouldn't be complete without a sentimental touch of Scotland. So as the famous Scotts man and creator of Peter Pan, J. M. Barrie once said and I quote, "Those who bring sunshine to the lives of others cannot keep it from themselves". Forbes, you and your wonderful bride Lorna, deserve a life full of sunshine. Thank you my friend, thanks for all you've done over such a storied career. You'll be missed man like you'll never be forgotten. With that, I'll now get on to my prepared remarks, starting with our third quarter results. Our team delivered $150 million in core operating income and revenues of $5.4 billion, resulting in core earnings per share of $0.46, a considerable increase year-on-year. These results represent a diversified stream of earnings, a level of diversification that's sustainable as we head into fiscal year '19. During the quarter, we had two distinct challenges. First, were unanticipated factory costs caused by broad-based material and component constraints, and second were lingering cost overruns within our packaging business. These two issues combined one macro and one more micro in nature cost us $12 million to $13 million during the quarter. The good news is both challenges are temporary and both will dissipate. Overall, I'm pleased with the quarter and as customary Forbes will provide more detail around our results and speak to our forward guidance during his prepared remarks. And I'll address current business activities within our DMS segment. Our DMS team earned $29 million during the quarter and $2.2 billion in revenue, demonstrating strong performance, performance characterized by growth, new program awards, and investments. Not necessarily in that order as our third quarter is typically one of deep investments inside our Green Point business and this year is no different. To expand on that point, we generally provide little or no income during our third quarter within our DMS segment. However this year we posted solid profits that were earned from a wide range of product families across half a dozen or so end markets. Moreover, our Green Point business now requires more intricate assembly and sophisticated automation in addition to our precision mechanics expertise. Good news for sure, as this suggests further product diversifications and plays directly into Jabil's strengths. Along this theme I announced during our March call that we had secured two significant program wins, both wins of new customers. These relationships are on track and should become material as we move to the second half of fiscal '19. I'll wrap up our DMS segment with an update on healthcare and packaging businesses. The teams continue to capture share allowing us to reaffirm our annual growth rate of 20% to 25% fiscal year '16 through fiscal year '19 which we referenced for the past 18 months or so. Across the healthcare space we're seeing more and more companies in the areas of diagnostics, med device, Pharma, and drug delivery, select partners like Jabil to serve as their primary hardware provider. We're helping them incorporate better solutions to the use of combined technologies. This enables healthcare providers to become more productive, more cost effective and ultimately more impactful to the patients. As for our packaging business, the outlook for fiscal '19 is positive. We believe that demand for our services will remain firm and in fact increase as Jabil's one-stop solutions set made up of molding and better electronics, final product assembly and material sciences is a real differentiate in the packaging market space. Next, I'll spend a few minutes on our EMS segment. Our EMS team continues to deliver sound results as they push forward with their progressive transformation. The team delivered approximately $122 million during the quarter and roughly $3.2 billion in revenue. As detailed on our last call, we’re seeing meaningful expansion with both existing and new customers in areas such as automotive, connected home, wireless, infrastructure, semi-cap equipment, cloud and energy. The result being EMS revenues at $12 billion plus for fiscal year '18 representing 10% growth year-over-year. Most interesting to me is the fact that half of this growth comes by way of new customer engagements. We expect the momentum to continue into fiscal year '19. It is evidenced that our EMS business has become well diversified. The team is deliberate and intentional on their pursuit of select industries and select customers, a successful model and roadmap on how we intend to run this business or the next two to three years. I'll conclude today's remarks by offering a few thoughts as I think about the company as a whole. Our forward guidance suggests another strong quarter and sets the foundation for Jabil to deliver core earnings of $2.60 a share for fiscal '18 growth of nearly 25% year-on-year and perfect alignment with our commitment. As we've highlighted, opportunities have been plentiful throughout the year and across the enterprise. This has allowed us to make mid-to-long-term investments across our portfolio. A key subset of our current investment thesis is share buybacks. To date we've returned approximately $860 million to shareholders pursuant to the two-year capital return framework we announced back in June 2016. As we enter the final stretch of fiscal year '18 we'll complete the two-year framework bringing our capital return to shareholders to $1 billion as we committed you previously. Accordingly, given the confidence we have today and the value we see in our business, we've elected to extend the capital return framework from two years to three. As such, we've authorized an additional $350 million in share buybacks to occur during fiscal year '19. In closing, I'd like you know that we're planning another Analyst Day where we will provide a comprehensive deep dive into the makeup and the construct of our business. We will do so via webcast on Tuesday, September 25, a few days after our year-end's earnings call and during this session you can expect to hear about operating margins, cash flows, and capital expenditures. Furthermore, you'll hear how we intend to deliver the $3 per share in core earnings in fiscal year '19 and the range of revenues required to deliver these earnings. In the meantime we have plenty of work ahead as our DMS segment is preparing for multiple program ramps, while our EMS segment is digesting the healthy revenue growth we've experienced this year. At Jabil, we embrace constant change and welcome the incredible challenges put forth by our customers. Thank you. And I'll now turn the call over to Forbes.
Forbes Alexander: Thank you, Mark. Good afternoon everyone. I'd ask you to turn to Slide 3 where I'll review our third quarter fiscal 2018 results. Net revenue for the third quarter was $5.4 billion, growth of close to $1 billion or 21% on a year-over-year basis. GAAP operating income was $113 million with GAAP net income $43 million. GAAP net diluted earnings per share were $0.25 for the quarter. Core operating income was $150 million, an increase of 32% on a year-over-year basis and represented 2.8% of revenue. Core diluted earnings per share were $0.46. Turning now to Slide 4, and our third quarter segment discussion, revenue for our Diversified Manufacturing Services segment was $2.3 billion, an increase of 36% on a year-over-year basis. Reflecting our continued diversification efforts with growth in healthcare, consumer goods, and mobility businesses, which represented 42% of total company revenue. Operating income for the quarter was 1.3%. Our Electronics Manufacturing Services segment revenue is $3.2 billion and an increase of 12% on a year-over-year basis. And reflected growth across automotive, connected home, capital equipment, industrial, energy and wireless infrastructure customers, and represented 58% of total company revenue. Operating income for the segment was 3.8%. And now I'd like to take a moment to discuss our cash flows. Cash flows from operations in the third fiscal quarter saw usage of $103 million as a result of working capital expansion to support revenue growth above our previous estimates. Cash flows from operations for the full fiscal year are now estimated to be $800 million, versus our previous expectations of $1 billion. This is the result of temporary working capital expansion to support revenue growth above previous expectations and a challenging component's markets. As I outlined in our October 2016 Analyst Day, we continue to expect cash flows from operations for the three-year period fiscal 2017 through fiscal 2019 to be $3.5 billion. Net capital expenditures for the third fiscal quarter totaled $265 million. Capital expenditures for the fiscal year to date totaled $572 million, while the full fiscal year remains on track with our previous expectations of $700 million. Core return on invested capital for the third quarter was 13% for the full fiscal year core return on invested capital is estimated to be approximately 18% a 200 basis point improvement on a year-over-year basis. Our total debt to EBITDA levels at the end of the fiscal quarter remain at approximately two times, while cash balances were $677 million. Turning now to our capital returns. In the third quarter share repurchases totaled $91 million. Since the inception of the capital return framework, we have repurchased 28.6 million shares at an average price of $25.06 totaling $716 million. At the end of the quarter $134 million remained outstanding on our current stock repurchase authorization which we expect to be fully utilized during the fourth quarter. Upon completion of this authorization, we shall have returned approximately $1 billion in stock repurchases and dividends under our capital framework. I am pleased to note that our Board of Directors has authorized a further stock repurchase program of $350 million through fiscal 2019 continuing our commitment to shareholder returns. Turning now to our fourth quarter fiscal 2018 outlook, which you can see on Slide 5. The Diversified Manufacturing Services segment revenue is expected to be consistent on a year-over-year basis or $2.15 billion, while Electronics Manufacturing Services segment revenue is expected to increase approximately 13% on a year-over-year basis to $3.25 billion. We expect total company revenue in the fourth quarter in a range of $5.2 billion to 5.6 billion and an increase of almost 8% at the midpoint of the range on a year-over-year basis. GAAP operating income is estimated to be in the range of $144 million to $199 million earnings. GAAP earnings per share are estimated to be in the range of $0.38 to $0.65 per diluted share. Core operating income is estimated to be in the range of $175 million to $225 million with a core operating margin in the range of 3.4% to 4%. Core earnings per share are estimated to be in the range of $0.56 to $0.80 per diluted share. The tax rate on core earnings in the fourth quarter is estimated to be 28%. In closing, we are pleased with the progress we've made year-to-date. With the guidance for the fourth quarter overall company revenues and core earnings per share for fiscal 2018 are expected to go 14% and 23% respectively for fiscal 2017. Diversified growth in revenues and earnings will provide a strong foundation to support our plan to deliver core earnings per share of $3 in fiscal 2019. Before I hand the call back to Beth, I'd like to thank Beth, Mark, and Mike and everyone for your support and trust over the last 14 years as CFO. It has been a humbling and wonderful experience. I've worked with many passionate and talented people within Jabil, all parts of the world many of whom I'm proud to call friends. The company is in good hands with Mike Dastoor moving into the CFO role. I worked with Mike for some 18-years and I know our transition will be seamless over the coming months. Thank you again everyone. It has been an absolute privilege. And now I'd like to hand the call back to Beth.
Beth Walters: Thanks Forbes. As we begin the question-and-answer session I would like to remind our call participants that per our customer agreement we will not address any customer or product specific questions. We appreciate your understanding and cooperation. Operator we are ready to begin the Q&A session.
Operator: Thank you. [Operator Instructions] Your first question comes from the line of Ruplu Bhattacharya with Bank of America Merrill lynch. Your line is open.
Ruplu Bhattacharya: Yes, thanks for taking my questions and congrats on the quarter. Also Forbes we're going to miss you and all the best for your retirement. May be and my first question Mark, your guidance for the EMS segment is $3.25 billion, that' significantly higher year-on-year from the fourth quarter of last year. So how should we think about if you can give us any guidance on the margins, operating margins that you expect in EMS in the fourth quarter?
Forbes Alexander: Yes, so the year-on-year it is 10% percent plus growth and again I just think it's a bit of a signal on our approach and what we're doing in that market space seems to be working and the other thing we'll take is, there's a little bit of wind in our sales with the overall economy. So we're pleased with the forward-looking guide. In terms of margins, I think if you think back to 4Q of 2017 we posted margins somewhere in the neighborhood of like 4.7% or 4.8% and I had mentioned at that time that there were some one off in that natural margins for 4Q of ’17 were around 4.5%. I think the fourth quarter this year will be at or about the 4.5%. So for modeling purposes I might model that at 4.5%, 4.6% and put the balance of the income with DMS.
Ruplu Bhattacharya: Okay, that’s helpful. Thanks for that and then on the DMS side, the revenues were higher than what you had expected, did the healthcare and packaging surprise you in terms of its strength?
Mark Mondello: So, yes I think maybe I could address that in two parts. One is revenue overshot our midpoint by about $500 million, so I think midpoint for the quarter if I go back to our March call was about $4.9 billion and we did about $5.4 billion. The majority of that was in DMS and it was really kind of across the company where we saw the additional revenue. When we were thinking about providing the guide back in March, we were concerned about the materials market which has been very, very tight to the electronics component market, and then just getting material in general has been difficult, so we hedged our revenue a little bit. Plus we had a lot of new program ramps, so we hedged those as well and maybe we hedged them a little bit too much again. So the delta from our results to our midpoint guide of $500 million again was really across the board. We saw it in healthcare. We saw it in mobility. We saw it in across CMS and we saw it through kind of edge products within DMS as well. So, the good news is when diversification play and the diversification story we've been talking about for the last three years seems to be playing out. I'd like to address, Ruplu, I'll address one other issue maybe to avoid another question on the topic. The question is Gees we saw a $500 million upside in an anticipated revenue we only exceeded earnings by a penny. And I think it's worth noting again and I mentioned it in my prepared remarks, so we had some additional costs in the factories based on the fact that it was quite difficult getting material and components this quarter. And then we also, I mentioned back in our March call that we had some cost overruns in packaging and we had that lingering on into 3Q and we think that will occur a bit more in the fourth quarter, but we think we've got that embedded in our guidance. I'm extremely bullish on healthcare and I'm also bullish on packaging. So I think the components market and the material market, although more of a macro issue will start to subside as we get into calendar ’19. So maybe early to mid calendar ’19 and then in terms of our execution and the issues on the packaging side I think those subside as we move into fiscal year ’19.
Ruplu Bhattacharya: Okay, Mark thanks for that and all the details. Maybe the last one just for Forbes, I think the tax rate came in a little bit lower than what we had expected, how should we think about that going into fiscal ’19 any guidance that you can give now?
Forbes Alexander: For '19 it's a little bit early. A lot has depended on the sources of income if you will with our operations in Asia, but as we said today for modeling purposes I think this year will end up about 28%, 29%, I think it's reasonable to hold at those levels and Mike and team we'll update you in September with an exact number because that is a placeholder.
Ruplu Bhattacharya: Okay, thanks for that Forbes. Congrats again on the retirement and congrats on the good results.
Forbes Alexander: Thanks Ruplu.
Operator: Your next question comes from the line of Matt Sheerin with Stifel. Your line is open.
Matt Sheerin: Yes, thank you and one and also say congratulations to Forbes. Just question regarding your commentary on the supply chain constraints which weighed on margins last quarter. The first question is, isn't that something that you can pass along to your customers when costs go up? And second, what have you done to alleviate that problem so that we don't see that repeat because it looks like the supply environment continues to remain tight?
Mark Mondello: Hey Matt, so I'm not so sure we've got a magic wand on how to make the issue go away, it's a pretty profound issue and again it's more macro based. I can tell you that companies like us and flex with our scale sit in the catbird seat in terms of working strategically and hand in hand with the supply base. So I feel really well positioned that in terms of being able to get materials, resins, electronic components, passes and et cetera that Jabil’s kind of front and center and again I feel good about our ability to do that. In terms of when it's going to clear, I made mention, I think it starts to dissipate probably early to mid fiscal year ’19.
Matt Sheerin: Okay, thank you. And just looking at your 2019 target of $3 in EPS and I know you talked about giving us more detailed guidance at your Analyst Day, but that incremental buyback program that you have, is that something that would play into that $3 number? In other words do you need to do the buyback to hit that $3 number?
Mark Mondello: We've always although, so Forbes is extremely cautious, he guards our cash flows and our balance sheet really, really well and so we didn't want to come out with the additional buybacks for ’19 until we are certain that cash flow supported it which it looks like they will. We've always kind of modeled the $3 with about $300 million of buyback in ’19. We announced 350 so not much difference so, yes the $300 million or $350 million of buybacks are already anticipated in the $3 a share.
Matt Sheerin: Okay, great, thanks a lot.
Mark Mondello: Yep.
Operator: Your next question comes from the line of Sean Hannan with Needham & Company. Your line is open.
Sean Hannan: Yes, another person to here to pass on congratulations Forbes it’s been a real pleasure all these years. A question on the guidance as we look at the DMS views for next quarter, so it’s interesting to look at that we’re going to have kind of flattish year-on-year scenario. Typically we do have some growth, so trying to understand the various components push and pull that get us to that. Obviously there have been some positive and negative leverage there, so just want to see if we can get a little bit more granularity on that?
Mark Mondello: Sure Sean, so I feel great about our guide for DMS in 4Q. I've looked at last quarter or last year of the fourth quarter and it was a pretty frothy outlook with super cycles in and whatnot. So the fact that our guide this year is largely on top of results from our fourth quarter last year makes me feel really good. I think the composition is different though which makes me feel even better. Again, we've been - we're banging the drum for the last three and a half four years on diversifications and I think our guide in the fourth quarter around DMS reflects that. So add to that that for the last whatever it is 18 months maybe a little longer, we've been talking about healthcare and packaging growing at a compounded rate of 20% to 25% from 16 to 19, I think that's also reflected in our DMS guide. So overall we feel pretty good about the guide for the quarter and how we’re closing out the year.
Sean Hannan: So all-in-all there can be an interpretation that we should think of this as a visual reflection of here this pivot is taking place lesser reliance on where some of the prior Taiwan Green Point revenue make up had been. And a much more visible contribution coming into play, changing that make up driving more sustainable profitability moving forward through the pro [ph] related revenues and other activity?
Mark Mondello: Well, there was a lot there, but I think I agree with that largely, yes.
Sean Hannan: Fair enough, all right, thank you.
Mark Mondello: Thanks Sean.
Operator: Your next question comes from the line of Sherri Scribner with Deutsche Bank. Your line is open.
Sherri Scribner: Hi thank you. I was hoping you could maybe make some comments on your further outlook for revenue growth. I know in the past you've talked about sort of mid-to-low single digit growth in DMS, but you guys clearly outperformed that this year. And then when you think about the DMS segment, the sort of flat guide for 4Q, is that, should we think about much lower growth in DMS as we move into fiscal ’19? Thanks.
Mark Mondello: Thanks Sherri. So we haven't really talked much about revenues for ’19. I can imagine DMS and EMS continuing to grow at whatever the numbers are, call it 20% and 10%. Again we're doing something right, so we'll take the growth while it's here. Again this has been a really nice year for us. I think if you think about the $3 a share and we'll get into much more detail on this September 25, but I think growth rates will normalize a little bit. And in terms of revenue for ’19, I would pencil in something $22.5 billion to $23 billion and again give us another, whatever the math is 80, 90 days and we'll take you a bit deeper on all of that. One of the things that we're looking forward to for the Analyst Day which is nearly two years to the day is to really give you a good breakdown and construct of how we're going to derive the $3 a share which will include subsets of revenue and how all that breaks down.
Sherri Scribner: Okay, great and then Forbes also congratulations to you on your retirement I've enjoyed working with you, but I wanted to ask about CapEx. I think you've guided $700 million and we've been a bit above those rates, so how should we think about CapEx this year and I assume you'll update us for fiscal ’19 at the Analyst Day? Thanks.
Forbes Alexander: Yes, thanks Sherri. CapEx this year we started at the beginning of the year at $700 we should be hitting that number. I think we're what 570 roughly as we've exited this quarter, so it should be on track around the 700 number for the year.
Sherri Scribner: Okay, great thank you.
Forbes Alexander: You’re welcome.
Operator: Your next question comes from the line of Steven Milunovich with UBS. Your line is open.
Steven Milunovich: Thank you. You've expanded a lot of capacity in Green Point the last few years, can you give us a sense of where your plant utilization is, how much further there is to go there and if it has positive potential impact on margins?
Mark Mondello: Hey Steve, it’s Mark. We really haven't expanded much capacity at all in the last couple of years. I think we've talked a lot about fiscal 13, 14 and maybe part of '15 where we got out ahead of ourselves with expansion in Mainland China and we made great investments there. We just we were a bit premature by probably 18 months or so. One of the things we said back then was - is we're probably a little bit early, but don't judge us and let us see if we can leverage the assets and the capacity over the next coming years in terms of cash flows and largely that's exactly what we've done. So, pretty pleased with capacity utilization, and then kind of an ROIC or ROA on those assets to last the last number of years.
Steven Milunovich: Okay, it seems like yesterday to me, but on the EMS operating margin, I think you've said that you thought you could sustain the around 4% is that kind of the level we should be thinking about on an annualized basis?
Mark Mondello: I don't know, I mean, I think the team is doing a great job and again, I bring you back to - we've taken those margins from 2.2% bumping up against four. I think for modeling purposes on an annual basis modeling our EMS margins around 3.8 seems reasonable if we can stretch it to four and by the way our internal goal is certainly to get our EMS margins to four but maybe cut that by 20 basis points but nonetheless, boy I feel good about how that business is operating in the outlook for that business for fiscal 19.
Steven Milunovich: Great, thank you.
Mark Mondello: You’re welcome.
Operator: Your next question comes from the line of Jim Suva with Citi. Your line is open.
Jim Suva: Thanks very much. Forbes, your level of integrity and stewardship and details has been so appreciated over the decade as long you said and thank you so much and you will greatly be missed. My question is this, the upside on the revenues, so you're able to get all the components but the margins as you mentioned didn’t come in. So you're able to get it was it you just have to pay up to get the product or it's hard to see why you wouldn’t pass that through the customer if it's apparent DRAM prices, copper, all those prices have gone up, why not, have got the cost plus model being a protector.
Mark Mondello: Hey Jim, so by the way thanks for the kind words for Forbes. I couldn't agree more. In terms of the component market we weren’t really able to get all the components and again I think the revenues a reflection again. I just keep banging the drum on in our world in our business the more diversified we are the better and the upside in revenue one could look at it from the outside and go wow, you were able to collect all the components, you need and the reality is we're really well positioned to collect components and manage the supply chain, we've got great partners, but we largely didn't get all the material we needed. A, that drove up transformation cost in our factory which I addressed in my prepared remarks but were able to go down different tangents in terms of getting our product different getting our customers a different mix of products. So again I think it's a wonderful illustration of the diversification of the business overall. In terms of, I think this is the second question around do we just pass that cost on to our customer and the answer is we've got all kinds of different agreements with customers, Jabil over the years typically doesn't take absolute inventory liability. But we're not to agree, we just throw our hands up and past the car just where we just throw our hands up and pass that cost down to the customer, our customers expect us to work the issues side by side with them and in most every case we end up sorting through an equitable rational solution on the economics. So again, I tried to allude to this in my prepared remarks and maybe one of the earlier questions but in the 400, 500 million of additional revenue that we had. We actually made pretty good margin on that. But again it was eaten up by some inefficiencies in the factories as well as some of the lingering issues of packaging which will resolve themselves in relatively short order.
Jim Suva: Thank you so much and again Forbes my [indiscernible] for all the years help greatly appreciated. Thank you.
Forbes Alexander: Thanks Jim.
Operator: Your next question comes from the line of Steven Fox with Cross Research. Your line is open.
Steven Fox: Thanks, Good afternoon. First Forbes, I was just wondering especially first of all congratulations, but since you're walking out the door and record earnings, I was wondering if I can pick you up on cash flows one last time.
Forbes Alexander: Why not?
Mark Mondello: Oh come on Steve, give him a break. I was nearing its being up on cash flows one last time.
Forbes Alexander: Come on Steve.
Steven Fox: So, your cash flows are coming in a little lighter this year which is not too much was fried to - what's going on in the environment, but you seem to be confident that they bounce back pretty strongly next year even though we're in an inflationary environment. So I was curious if there's anything internally going on to improve working capital or how you sort of see that bounce back working? And then I had a follow up.
Forbes Alexander: Yes, sure, now you are right. We're a little bit light as you say with growth. Beginning of the year I think we expected that our EMS growth 3%, 4%, we're coming in double digits [indiscernible] and that's driving tan and that's driving a lot of that expansion in working capital, beyond that, so expansion in dollars what you're going to get with revenue growth. Beyond that this pipe components market has really created a mismatch if you will of raw material right in our factories which goes to Mark's point above the inefficiencies in the plants. So as we move through ’19 we expect and I can't give you a specific date, but we do expect materials market to correct somewhat and with that we should start to see the cash flows or those inefficiencies disappear if you will. So think of that or maybe I don't know a couple $100 million bucks something of that type of nature which we should see no come into fiscal '19 and as I said in my prepared remarks we still feel pretty comfortable that over this three year fiscal period '17 through '19. We can deliver on our commitment $0.5 billion, so surely by that market correction, we're always striving to be more efficient in terms of working capital. This is a working capital business. So I think we're in good shape and then we should be able to hit those targets.
Steven Fox: Great, thank you for all your help over the years and then Mark I'm just curious as you think about the 20% to 25% growth you're getting out of like packaging at healthcare, how does the sort of the breakdown of that business change from like last year to this year then the following years? Or is there anything you could highlight in terms of applications or certain markets that's driving the growth differently as we think about it year-to-year?
Mark Mondello: Specifically in the healthcare and packaging?
Steven Fox: Yes, because you've got 20%, 25% growth, but I'm wondering if there's any differences in what the drivers are between like this year and next year.
Forbes Alexander: Now I think they're consistent. It's just the fact that we're kind of playing deeper in both markets, so I would say both markets hard are distinctly different about where their common is, is their disruption in both markets. I think that, and I said a lot of Steve on my prepared remarks on that, if I could take packaging first our team does wonderful job with material science molding and you add that to our ability to do final assembly embedded electronics so for a lot of the consumer product brands having kind of one stop shopping to come to us and help them holistically with kind of where technology is going. If you think about apps around packaging, you think apps around product, you think about apps are around retail, its pretty good solution set that we have to offer. In terms of healthcare there's just general disruption going around through the healthcare space and that's leaning right into a sweet spot for us as well. So right now I don't think the 20%, 25% continues into perpetuity, but boy the momentum is quite good. If I could just index off of that comment for a minute Steve, on the cash flows as Forbes was answering your question one thought popped into my head. So the overall cash flows for the business if you look at the EBITDA the business it's really strong. The cash flow from apps we're bringing that down a bit just because we're making a fundamentally smart decision to go grab this growth why it's there because we think there's growth for the next three, four, five years to really get a foundation for us. So again, simple working capital expansions absorbing the cash, but here's something pretty cool. The team has been very disciplined on the fixed asset side. Our CapEx number hasn't moved at all and we think we'll probably end this fiscal year with a return on invested capital somewhere in the 17%, 18% range and we think that if we can continue our disciplines we think the ROIC next year will be in that range if not higher.
Steven Fox: Great, thanks again for all the help Forbes and I appreciate the feedback there. Thanks.
Operator: Your next question comes from the line of Paul Coster with JP. Morgan Your line is open.
Paul Coster: Thank you for taking my questions. So you've got two projects and programs in start up, you’re in a position to share with us what impact that has a margin, so the margin drag.
Mark Mondello: Margin drag, not really maybe and what I mean by that is scale the company is today Paul at a margin drag. I would say that I would say that they're a absorber of OpEx at the moment. So I guess to that extent yes. Is it material, not so much. But we think that on the two new program wins I alluded to, that the inflection point where that kind of goes through from OpEx absorption to plateau to generating income will be around midpoint of fiscal year 19.
Paul Coster: Got it. Thank you. If you don't mind I’m going to get down the supply chain rabbit hole again and just it sounds like from Forbes answer, that this is something that's not under your control it's the industry that will resolve the issue and many components and materials I would imagine. I'm just wondering what it is you see that makes you comfortable that by mid fiscal year 2019 the problem would have dissipative?
Mark Mondello: Well, I don’t know that the problem will dissipate completely by mid calendar 2019. We think that we'll start to see pockets of it that will soften and get to a more normalized base. Most of that information comes from A, if you think about Jabil we support 300 plus of the coolest greatest brands on the planet and we get to see what they're all doing and work with them on their product roadmaps and so it gives us a pretty good bird's eye view of the next 12 to 18 months. Number two is, we've got - we just got great relationships with the suppliers and the distributors. So, our material supply chain folks are out in the marketplace every day, so we get a pretty good read on that. And again we don't have any type of crystal ball, but our data would suggest that things will start get in better in about a year's time frame, maybe a little less.
Paul Coster: Great, thank you very much. A - Mark Mondello Yes, thanks Paul.
Operator: Your next question comes from the line of Chaim Siegel with Elazar Advisors. Your line is open.
Chaim Siegel: Hi guys, congratulations and Forbes, good luck on your next step in life. Just a quick question on sequential growth, the guide for August I think it implies slower than your normal seasonality, but looking at the momentum in your different businesses I would assume that you'd at least have normal seasonality, so I’m just wondering what's that or if it's just a little conservatism?
Forbes Alexander: I think that, I think that if you look at it on the surface and you look at seasonality and you look at sequential Q3, Q4 of 2017, so Q3 of 2017 to Q4 of 2017 and on the surface you look at Q3 of 2018 to Q4 of 2018 it appears like it’s a bit softer. The reality of it is, we had a really strong Q3 of 2018. So I'd look at that more maybe on a year-on-year basis. I think sequentially is a little distorted because we had such a strong Q3 this year on a top line. So again I can understand the kind of illustration where it looks sequentially like things are a little softer and in reality I think the guide is quite strong, A, based on the business and B, if you look at it year-on-year Q4 of 2017 to Q4 of 2018.
Chaim Siegel: Yes, I agree, it's very – it's a strong guide. One thing I noticed is that two year trend, so if you take this year plus last year, it's only been accelerating which speaks to your momentum comment. So looks a little conservative, but will give you that.
Forbes Alexander: Well, I'm not sure if it is, but if it is we'll take that as well.
Chaim Siegel: All right, congratulations.
Forbes Alexander: Thank you.
Mark Mondello: Thank you.
Operator: Your next question comes from the line of Amit Daryanani with RBC Capital Markets. Your line is open.
Unidentified Analyst: Hi, this is Irwin Lou [Ph] dialling in for Amit. Mark, you mentioned that half of your growth in EMS was driven by new customer engagements are there any changes to either your sales strategy or capabilities that enabled this acceleration in new customer platform wins?
Mark Mondello: Yes, so if you look just kind of qualify what you said right at the beginning last year in EMS we did about $11 billion. We thought that would grow at 3% or 4%, so call it $400 million, $500 million is what we had planned for in September, October and the reality of it is EMS is going to add about $1 billion. So the deltas from what we had planned is call it just round numbers $500 million. I think it's due to A, there are some wind sales a bit because the economy is okay, but the other part of it is our approach. I think our sector strategy, I think the fact that our leaders in EMS have went out starting three, four years ago and really hired what we kind of referred to as kind of deep domain experts in each of the different sectors. So we have that business broken up into very manageable chunks. The $12 billion in EMS today is broken up in probably a dozen different business units, all of pretty sufficient scale, and then we were bringing kind of independent solutions in terms of aggregating various technologies to each of those end market segments. And so far it seems to be working quite well, so that's kind of what we're up to.
Unidentified Analyst: Got it, thanks. And along with the same industry tailwinds on Tangent, can you share with us your thoughts on the sustainability of the past momentum of the broader technology industry?
Mark Mondello: Oh I don't know, I mean I'm not sure, I’m not sure I'm rated to really do that, I think that we’re again we get around, we talk to everybody, we spend a lot of time with our customers, we spend a lot of time with the private equity guys, we spend a lot of time with the banks and it's hard to argue that again there's a little bit of wind at our sails. I don't think the economy overall is as frothy as some think and I'm not so sure that the economy is linked directly to the frothiness of the stock market, but when you're in this business a long, long time, it feels better operating today than when we get the stiff winds blowing in our face and we've been through those cycles many times as well. So we'll take it why we have it and here's the good news about a company like Jabil, is when we get a little wind at our back, it's really good, we enjoy it and we work really hard and capture the growth. The flip side of that is, I wouldn't want to work anywhere else when the winds are blowing in our face because one thing we know how to do with a low margin business is we know how to execute, we know how to watch the pennies. So, again we will take that will take the good times while we have it, but we're also very conservative and don't want to get too happy with the current situation, but all in all I'm really pleased with the outlook for 2018 and we've got a pretty strong outlook for 2019.
Unidentified Analyst: Thanks. That's all I had and congratulations Forbes.
Forbes Alexander: Thank you.
Operator: That concludes our question-and-answer session for today. I'll now turn the call back over to Ms. Beth Walters.